Operator: Good afternoon. Thank you for standing by. Welcome to the Westlake Chemical Partners Second Quarter 2021 Earnings Conference Call. . As a reminder, this conference is being recorded today, August 3, 2021.  I would now like to turn the call over to today's host, Jeff Holy, Westlake Chemical Partners' Vice President and Treasurer. Sir, you may begin.
Jeff Holy: Thank you, Tamika. Good afternoon, everyone, and welcome to the Westlake Chemical Partners' Second Quarter 2021 Conference Call. I'm joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer; and other members of our management team.  During this call, we refer to ourselves as Westlake Partners or the Partnership. References to Westlake or Westlake Chemical refer to our parent company, Westlake Chemical Corporation. And references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake Chemical and the Partnership, which owns certain olefin assets.  Additionally, when we refer to distributable cash flow, we are referring to Westlake Chemical Partners' MLP distributable cash flow. Definitions of these terms are available on the Partnership's website. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs as well as assumptions made by and information currently available to management.  These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon many factors, including operating difficulties, the volume of ethylene that we are able to sell, the price at which we are able to sell ethylene, changes in the prevailing economic conditions, actual and proposed governmental regulatory actions, competitive products and pricing pressures, the COVID-19 pandemic, extreme weather conditions, our ability to borrow funds and access capital markets at a reasonable cost and other risk factors as discussed in our SEC filings.  This morning, Westlake Partners issued a press release with details of our second quarter 2021 financial and operating results. This document is available in the Press Release section of our web page at wlkpartners.com. A replay of today's call will be available beginning 2 hours after the conclusion of this call. This replay may be accessed by dialing the following numbers. Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code is 3216579. Please note that information reported on this call speaks only as of today, August 3, 2021, and therefore, you're advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this teleconference is being broadcast live through an Internet webcast system that can be accessed on our web page at wlkpartners.com.  Now I would like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Jeff. Good afternoon, everyone, and thank you for joining us to discuss our second quarter 2021 results. In this morning's press release, we reported Westlake Partners' second quarter 2021 net income was a record of $25 million or $0.71 per unit. Ethylene production in second quarter was strong contributing to OpCo's record quarterly net income of $120 million. During the quarter, we saw a strong demand for a very broad range of ethylene derivatives as a result of the current economic recovery and expansion. The strong ethylene derivative demand drove ethylene prices higher in the second quarter, benefiting our third-party sales. On June 25, 2021, OpCo's Petro 1 facility experienced an unplanned outage, and we resumed normal operations on July 19.  As a result of this unplanned outage, OpCo declared force majeure under Opco's ethylene sales agreement. Pursuant to the ethylene sales agreement, Westlake is obligated to purchase and pay for a minimum amount of ethylene from OpCo each calendar year. This were insulated from impact of such outages. Under this agreement, Westlake Chemical's ethylene purchase obligation, including cost plus a fixed margin per pound.  These protected provisions allow OpCo and in turn Westlake Partners to maintain consistent cash flows during unplanned events. Westlake Partners' financial results in the second quarter continue to demonstrate the stability generated from our fixed margin ethylene sales agreement for 95% of annual planned production each year. Thus include us -- insulating us from market volatility and other production risks. This certainty, combined with our investment-grade sponsor, Westlake Chemical, produces predictable earnings and stable cash flows.  I would now like to turn our call over to Steve to provide more detail on the financial and operating results for the quarter. Steve?
Mark Bender: Thank you, Albert, and good afternoon, everyone. In this morning's press release, we reported Westlake Partners' second quarter net income of $25 million or $0.71 per unit. Consolidated net income, including OpCo's earnings, was $120 million on consolidated sales of $322 million. The partner had distributable cash flow for the quarter of $26 million or $0.73 per unit.  As Albert mentioned, the provisions of the ethylene sales agreement commit Westlake to purchase and pay for a defined amount of ethylene from OpCo each calendar year. Thus insulating us from the impact of unplanned outages resulting in force majeure events. We recognized $9 million in the second quarter associated with lost production. These provisions enable OpCo and in turn Westlake Partners to deliver consistent earnings during these unplanned events.  As the unplanned outage was primarily impacting third quarter production, we expect to continue to recover costs from loss production pursuant to our ethylene sales agreement during the balance of the year. Record second quarter 2021 net income for Westlake Partners of $25 million increased by $10 million compared to second quarter 2020 Partnership net income of $15 million. The increased net income was primarily attributable to higher production and higher earnings on third-party sales as well as the buyer deficiency fee related to year-to-date lost ethylene production. Distributable cash flow of $26 million for the second quarter of 2021 increased by $9 million compared to the second quarter of 2020 distributable cash flow of $17 million.  The increase in distributable cash flow was attributable to higher earnings at OpCo, resulting from increased production and the buyer deficiency fee. Partially offsetting these increases were increased maintenance costs and contribution to the turnaround reserves. For the 6 months of 2021, net income for the partnership of $40 million increased $7 million in the first 6 months of 2020 net income for the partnership of $33 million. MLP distributable cash flow of $42 million for the first 6 months of 2021 increased $7 million from the first 6 months of 2020 MLP distributable cash flow of $35 million.  The increases in net income and MLP distributable cash flow were primarily due to higher earnings on ethylene sold to Westlake Chemical and third parties from OpCo and the buyer deficiency fee, partially offset by lower ethylene production from unplanned outages.  Turning your attention to the balance sheet and cash flows. At the end of the second quarter, we had consolidated cash balance and cash invested with Westlake Chemical through our investment management agreement totaling $240 million. At the end of the second quarter, Westlake Chemical had payment obligations to the Partnership of $18 million, representing the buyer deficiency fee from lost production and cost recovery. These payment obligations will be received in 2022 under the terms of the ethylene sales agreement.  Long-term debt at the end of the quarter was $400 million, of which $377 million was that the Partnership and the remaining $23 million was at OpCo. In the second quarter, OpCo spent $15 million on capital expenditures. For the second quarter of 2021, we maintained our strong leverage metrics with a consolidated leverage ratio of approximately 1x and a net debt-to-capitalization ratio of nearly 12%.  Looking ahead, the planned turnaround of our Petro 2 unit will begin in September of this year and is projected to last approximately 60 days. The cost of this turnaround has been included in the amount we charge Westlake Chemical and will be fully reserved for at the commencement of the turnaround. The Partnership's predictable fee-based cash flow continues to prove very beneficial in today's economic environment, is differentiated by the consistency of our earnings and cash flows.  The structure of our ethylene sales agreement and the associated cash flow allows the partnership to continue distributions at our current level while sustaining our long-term targeted 1.1x distribution coverage, thus eliminating the need to access equity capital markets. Looking back over the past 7 years, since our IPO, we've maintained a conservative coverage ratio above this targeted level.  On August 2, 2021, we announced distributions of $0.4714 per unit with respect to the second quarter. Since our IPO in 2014, the Partnership has made 28 consecutive quarterly distributions to our unitholders. And we've grown distributions 71% since the Partner's original minimum quarterly distribution of $0.275 per unit. For the 12 months ending June 30, 2021, a distributable cash flow provided coverage of 1.18x the declared distribution.  Second quarter's Partnership distribution will be paid on August 26, 2021, to unit record holders of August 12, 2021.  Now I'd like to turn the call back over to Albert to make some closing comments. Albert?
Albert Chao: Thank you, Steve. We are pleased with the Partnership's financial and operational performance. The stability of our business model was well illustrated in the first half of 2021 as our ethylene sales agreement and its protective provisions provided the partnership with predictable long-term earnings and cash flows despite enforcing events and associated production outages.  We remain optimistic about sustained demand for ethylene, driven by continued downstream derivative needs by our parent Westlake Chemical as well as strong market demand for ethylene support our third-party sales. Our ethylene sales agreement, which provides a predictable fee-based cash flow structure from our take-or-pay contract with Westlake Chemical for 95% of OpCo's production, we will continue to deliver the stable and predictable cash flows.  This further proves our thesis of underlying value of the partnership. We maintain a strong balance sheet with conservative financial and leverage metrics. As we continue to navigate market conditions, we'll evaluate opportunities via our 4 levers of growth in the future, including increases of our ownership interest of OpCo; acquisitions of other qualified income streams; organic growth opportunities, such as expansions of our current ethylene facilities; and negotiations of a higher fixed margin in our ethylene sales agreement with Westlake.  We remain focused on our ability to continue to provide long-term value to our unitholders. As always, we will continue to operate safely along with being good stewards of the environment where we work and live. Thank you very much for listening to our second quarter earnings call.  Now I will turn the call back over to Jeff.
Jeff Holy: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available 2 hours after the call has ended. We will provide that number again at the end of the call. Tameka, we'll now take questions.
Operator: . Your first question is from the line of Mike Leithead with Barclays.
Michael Leithead: I guess first question. If you look at the WLKP unit price, it's much improved over the past year, but it's kind of sort of held fairly steady around $27. And when I think about further price improvement from here, it's really a question of either the yields going down or distribution growth restarting again. So I guess when you look at the market and talk to investors, what's your latest thoughts on that value versus growth model that you think can ultimately drive the unit price higher going forward?
Mark Bender: As we think about the levers that Albert just outlined, the 4 growth levers, those are readily available to us, and we can access and use those levers as the market provides the opportunity to do so. And when I say that, we really are focused on demonstrating the value proposition that you see the Partnership being able to deliver, but also looking for ways in which we get rewarded for those growth levers.  And so we stand ready to be able to provide growth in distributions using any one or several of those growth levers as long as we get the contribution back for the value that those levers provide. Mike, as we see the market today, the market continues to appreciate value over growth. We certainly stand ready to provide growth if the market is where we provide that value.
Michael Leithead: Got it. And when I think about kind of some of your comments, is there a specific yield or specific level at which you would look to do that? Or is really dependent upon the capital markets and the opportunity available to you?
Mark Bender: Yes. It's the availability of the markets. As you can imagine, we have a major turnaround this year. And so I would expect that we'll be addressing those operational needs for the maintenance of the ethylene unit. And as we talk to investors and look at the capital markets, we'll continue to assess the opportunity to use those growth levers. As I say, we stand ready to do so. It's just being rewarded accordingly for those -- using those levers.
Operator: Your next question comes from the line of Matthew Blair with Tudor, Pickering, Holt.
Matthew Blair: I had a question on this buyer's deficiency fees. So in Q2, it looks like it was $8.7 million given that the cracker was down for 19 days in Q3, would you expect that number to look larger in Q3 relative to Q2?
Mark Bender: So, Matthew, the answer is we do expect to have most of the lost pounds occurring in Q3 because the outage did occur late in the second quarter. So there is very likely some additional buyer deficiency fee to accrue in the second half and largely in the third quarter of this year. The benefit of having the structure as we do both with the shortfall fee and the buyer deficiency fee as it protects OpCo and therefore, the partnership, providing that earnings stability even though the unit lost those pounds, Westlake will still pay for the fixed component of all other cash production cost to provide that buyer deficiency production.
Matthew Blair: Sounds good. And then would you expect the downtime in Q3 to have an impact on your third-party ethylene sales.
Mark Bender: We've been able to take advantage of those stronger ethylene markets over the course of the first half of this year. And so as we think about the benefits that we see here, we'll be looking to sell some additional ethylene, but we've really had the ability to achieve a significant portion of the third-party sales for the first half of the year.
Operator: At this time, we have come to the end of our Q&A session. I will now turn the call back over to Jeff Holy.
Jeff Holy: Thank you again for participating in today's call. We hope you'll join us for our next conference call to discuss our third quarter 2021 results.
Operator: Thank you for participating in today's Westlake Chemical Partners Second Quarter Earnings Conference Call. As a reminder, this call is -- will be available for replay beginning two hours after the call has ended and may be accessed until 11:59 p.m. Eastern Time on Tuesday, August 10, 2021. The replay may can be accessed by calling the following numbers. Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code is 3216579. This will conclude today's call. Goodbye.